Operator: Good afternoon. My name is Jennifer, and I will be your conference operator today. At this time I would like to welcome everyone to the Third Quarter Fiscal Year 2015 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you. And Ms. Candace Formacek, you may begin your conference.
Candace Formacek: Thank you, Jennifer, and thank you for joining us today. George Freeman, our Chairman, President, and CEO; and David Moore, our Chief Financial Officer are here with me today. They will join me in answering questions after these brief remarks. This call is being webcast live and will be available on our website and on telephone taped replay. It will remain on our website through May 5, 2015. If you are listening to this call after that date or if you are reading a transcription, we have not authorized such recording or transcription. It has been made available to you without our permission, review or approval. We take no responsibility for such presentation. Any transcription, inaccuracies or omissions or failures to present available updates are the responsibility of the party who is providing it to you. Before I begin to discuss our results I caution you that we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future. For information on some of the factors that can affect our estimates, I urge you to read our 10-K for the year-ended March 31, 2014, as well as our Form 10-Q for the fiscal year ended December 31, 2014, which was filed with the SEC today. The factors that can affect our estimates include such things as customer-mandated timing of shipments, weather conditions, political and economic environment, changes in currency, industry consolidation and evolution and changes in market structure or sources. Finally, some of the information I have for you today is based on un-audited allocations and is subject to reclassification. In an effort to provide useful information to investors, our comments today may include non-GAAP financial measures. For details on these measures including reconciliations to the most comparable GAAP measures, please refer to our second quarter 2015 -- sorry -- third quarter 2015 earnings press release. The current fiscal year continues to develop as we expected with shipments heavily weighted towards the second half of the year. Third quarter lamina volumes shipped by our flue-cured and burley operations were the highest that we've seen for several years. In addition, our third quarter operating earnings benefited from lower selling, general, and administrative costs, as well as improved gross margins. Net income for the third fiscal quarter which ended December 31, 2014, was $53 million or $1.87 per diluted share, an increase of about 38% compared to the prior year's third quarter net income up $38.6 million or $1.36 per share. Segment operating income for the quarter of $93.5 million was up 25% compared with the previous year, while consolidated revenues for the quarter decreased by about 1% on flat overall volumes and lower prices. Turning to the segment detail for the quarter. The Other Regions segment operating income increased by 20% to $79 million on higher total volumes, mainly in Brazil and Asia and better overall margins. Recovery from last year's volatile market pricing supported results in Brazil, while Africa volumes lagged the previous year's levels from shipments delayed into our fourth fiscal quarter. The segment income improvement reflected significant reductions in selling, general and administrative costs driven mainly by lower provisions for suppliers, lower incentive compensation costs, and positive comparisons of value-added tax valuation allowances relative to the same period last year. The North America segment achieved earnings improvement as well as operating income of $15.9 million was up $8.1 million compared to the previous year and increased third-party processing in the United States and higher lamina sales volumes, including shipments from Guatemala and Mexico delayed from the previous quarter. The Other Tobacco Operations segment reported an operating loss of $1.3 million for the quarter compared with earnings of $1.4 million in the prior year. Results for the Oriental joint venture declined in the quarter, primarily due to shipments of Oriental tobaccos into the U.S., which were delayed into the fourth fiscal quarter of 2015 and partially offset by favorable foreign currency re-measurement comparisons to losses from Turkish lira devaluation last year. The segment was also affected by operational startup costs for the liquid nicotine and food ingredients businesses for the third quarter. Results for the dark tobacco operations were flat for the period. In addition our prudent inventory management has kept uncommitted levels in the normal range at 14%. The robust third quarter sales volumes and operating profit improvements offset a portion of the large declines we reported in the first half of the year from the later start to the markets and delayed receipt of shipping instructions from customers caused by this year's oversupply conditions. Net income for the nine months ending December 31, 2014, was $68.8 million or $2.43 per share. Those results included an income tax benefit of $8 million, $0.28 arising from a subsidiary's payment of a portion of a fine in the first fiscal quarter. Last years net income was $122.3 million or $0.31 per share for the same period and included a non-recurring after tax gain of $53.1 million, $1.87 per share from the resolution of excise tax credit litigation in Brazil. Excluding those non-recurring items in both years, net income for the nine months decreased $8.4 million compared to the same period last year. Looking forward, although it is early and logistics delays can always occur, the fourth fiscal quarter's processing and shipping schedules are proceeding as anticipated, with the largest portion of shipping volumes coming from the Africa origins. We continue to expect stronger fourth quarter sales volumes compared to the same quarter last year. The current outlook for the 2015 crops, which will impact our fiscal year 2016 results, indicates decreased production volumes in the key growing areas, which is an important step towards more balanced markets. Our operations around the globe have managed well through the uncertain markets this year. Our balance sheet remains strong, and our major refinancing in December ensures that we are well-positioned to meet the future financial needs of our business. We are optimistic about the prospects for our industry, and we continue to see opportunities to enhance our business by providing supply chain efficiencies, such as improved leaf utilization, that also bring value to our customers. At this time, we are available to take your questions.
Operator: [Operator Instructions] And our first question comes from the line of Ann Gurkin with Davenport.
Ann Gurkin: Good evening and congratulations on a very good quarter. 
George Freeman: Thank you, kindly.
Ann Gurkin: I want to start with some questions regarding the quarter. In North America, the increased third-party processing in the U.S., can you tell me what's behind that number? Are there any new business wins behind that number?
Candace Formacek: Well, Ann, we don’t really disclose exactly where that comes from. I mean, you know our group there works hard to improve whenever we have new business, most of the business in the U.S. are with customers that we already have. Now we are pleased to see an increase in that business. 
Ann Gurkin: Okay. And the other items, provisions -- lower provision for losses on advances to supplier. Can you give me some more detail behind that statement?
George Freeman: Well, in general, Ann, we have been working on that for the past three years, paying a lot of attention to it because it drives up the cost of leaf. It cost our customers' money as well. So we spent a lot of time looking at relative advances to the farmers, the ratio of those advances to the purchase price of leaf. Going back to ensure that our accounts are clean, and we make every effort to collect monies that can be collected. We have seen a lot of success really over the last three-year period. This year just we have where we would really like to be. 
Ann Gurkin: Got it. There has been an emphasis particularly on Brazil is that what I should be understanding.
George Freeman: Well, you see provisions against suppliers in other places as well. You see it Brazil, you see it in the Philippines, Malawi, particularly any place that you have, a lot of competition, a lot of people fighting for leaf. Places where people have additives [ph] to sell tobacco, they have been contracted to other people. 
Ann Gurkin: Well, congratulations on the benefit of your hard work there. That's great to see. 
George Freeman: Thank you. 
Ann Gurkin: The Oriental joint venture, numbers were lower than we're looking for in the quarter and I understand there is some timing of shipments. We're still thinking it would take several years to see a full recovery of that business, is that still the right expectation?
Candace Formacek: Yes, Ann, I think that, you know, that is a tough business that we are in. I will say, you know, we did see some timing effects that affected the third quarter for that business. Year-to-date they are still up over the prior year, however. We are seeing some benefits on some of the negative currency comparisons they had last year. 
Ann Gurkin: Okay. And the leaf production update that you published, the U.S. numbers for crop year 2015 I guess, maybe a little higher than I was expecting. I am hearing that the farmers are looking for reductions in crops. I know it comes down from 14 to 15, but I just was curious your insight into that either flue-cured and barley projected crop production number in the U.S.
Candace Formacek: Are you talking about--?
Ann Gurkin: 220 and 80. 
Candace Formacek: The 220 and 80, yeah, those are down a bit from the current year. 
Ann Gurkin: Right. But in terms of November and I just thought that might go down. 
George Freeman: And could trend down due to the market forces, I mean, we haven’t given…
Candace Formacek: It is early.
George Freeman: Right. And market forces will be pushing that down, not lifting that up. 
Candace Formacek: We will have another update for you next quarter.
Ann Gurkin: Okay. And then just in terms of some current trends in the industry. You talk about U.K. implementing plain packaging and the risk to volume, you may see some at and then Obama was proposing increasing federal excise tax, a tax -- federal excise tax on cigarettes. Any comments you can share on either one of those kind of risk to volumes or cigarettes, anything you are hearing or any insight you can share?
George Freeman: I mean, I don’t -- I don’t think any -- this is a super surprise to anybody. And I think the trend is in developed markets that to need to come down. I think that…
Candace Formacek: And that's consistent…
George Freeman: That's consistent, yeah, we have been seeing it. 
Candace Formacek: Seeing as an outlook, where there maybe other changes in other markets that are mature western market. 
Ann Gurkin: Okay. And then large manufacturers looking for global cigarette production to be down may be 1% to 2% more historic levels for 2015 and 2016 and the 3% volume drop we have seen in the past several years. Do you have any comments on that?
Candace Formacek: I think that is expectation. 
George Freeman: I think that's what we are hearing too, but who knows. 
Ann Gurkin: Okay. Fair enough. And then just any help you can give me on the direction for SG&A, nice improvement in Q3 and how we should think about that for the balance of the year and for -- fiscal 2016 and then the tax rate always that's the question. 
David Moore: So let's talk about the tax rate, because that's easier. Most of the things that drove our year-to-date tax rate down were one-off items that occurred in the first six months. So that would continue both for fourth quarter, for next year, a year after. I would still think in terms of 34%, 35% sort of the statutory rate of tax.
Candace Formacek: Ann, on the SG&A, I would say, we don’t really give forward guidance on that. I think what you are seeing this year are some benefits in part to some positive comparisons to negative results that had to do with currency last year. As you know we always had some chunky items. At the same time we have made progress in lower loss provisions for suppliers and lower incentive compensation cost and corporate overhead, these are certainly efforts that we try to maintain on ongoing basis. So you always have to be a little bit cautious though for the future about some of the unpredictable costs such currency movement. 
Ann Gurkin: Fair enough. Okay. Great. Thank you all. Congratulations again. 
George Freeman: Thank you. 
David Moore: Thank you. 
Operator: And your next question comes from the line of Steve [indiscernible] with Capital Security. 
Unidentified Analyst: Good afternoon, folks. Congrats on a good quarter. Ann asked one of the questions I was going to ask about SG&A. And I guess my other question was if the dollar continues to rise against other currencies, what kind of impact do you see that on your business?
Candace Formacek: Well, Steve, generally, there is not a good general answer for currency movements. We have a lot of different currency situations in different areas. In some ways a stronger dollar can provide benefit to local prices or crops that are priced in local currency. At the same time, depending upon whether we have a local dollar functional entity or local currency functional entity, there can be varying results that have to do with re-measurement. And it does sort of depend on where that is. 
David Moore: Right. Timing is everything. 
Candace Formacek: Yeah.
Unidentified Analyst: Okay. All right. Thank you very much.
Candace Formacek: Thanks. 
George Freeman: Thank you. 
Operator: And your next question comes from the line of Bryan Hunt. 
Bryan Hunt: Thank you. I was wondering if you can just talk about your inventory position. You are up over $1 billion. I think last year you ended the year with around $600 million of inventory. Do you think you are capable whittling your inventories for the big shipment quarter back down where they were a year ago, or was that ending your period abnormally low?
David Moore: No. I think we will approach that number. We have got a lot of inventory which actually was a good thing. It’s committed for sell. It just needs to ship in this fourth quarter. So we naturally would expect it to come down. Absolutely how much tobacco get shipped in the fourth quarter sort of hard to call, but we are not expecting the balance sheet inventory to be that materially different from the year before. 
Bryan Hunt: And you had nice expansion in gross margin year-over-year. I mean, anecdotally what we read under the trade press, it says that tobacco, green tobacco prices are down double-digit in Africa. Is that being reflected in this quarter's gross margin expansion? And would you expect that to continue in Q4 as more African tobacco ship?
David Moore: It will influence by the lower SG&A which is part of that margin. But I also would say, you know, when we had such delayed shipments in the first six months, that's going to drive the margins in the first six months lower. I think it’s probably more accurate to look at our annual results and look at the margins on that basis after we ship a more normal mixture and quantity for whole 12-month period. 
Candace Formacek: Bryan, I would also add to that that you may recall last year in South America, there were volatile markets that pressured our gross margins as well. And so as we reported earlier we are not seeing that same factor affecting the margins this year. 
Bryan Hunt: And the pendulum has been swinging back, if you will. There was some verticalization of some of the cigarette companies several years ago, about five years ago and then now it seems like they are getting away from your business model. I mean, is that something you could confirm? Is that a fair statement that you see the cigarette companies wanting to disaggregate the value chain as oppose to vertical integrate?
George Freeman: I can't really comment about that except I would say that what occurred in the U.S. recently was inline with that. 
Candace Formacek: Bryan, we do believe that moves away from vertical integration or recognition. Lead supplier plays a major role in the efficiency of the marketing system. And we do believe that there are opportunities to continue to bring efficiencies to the entire supply chain. 
Bryan Hunt: Great. And then my last question is when you look at the -- you are talking about this year you are being slightly oversupply in mixtures, you know, indications of plantings will bring that more balance back to the industry. Can you give us some idea of magnitude, you know, what the level of oversupply might be for this year relative to demand and what you are anticipating in terms of decline in production in flue and barley for 2016?
Candace Formacek: Bryan, we do post as our estimated leaf production on our website and so the new -- each quarter. So the numbers we have just put out, these are current internal estimates and they do shift and change, still early in the crop season for next year. But we are looking at an estimate of about 6% flue-cured decline for this year and about 7% in barley. The demand is the other side of that equation. However, I think we normally say it takes at least two years to meet out of an oversupply and in this case it’s not early production, it’s also a customer demand related. So I think we are being cautious about next year and the combination of those two factors. It does take usually some time to work out of an oversupply. 
Bryan Hunt: And I am sorry. I said last question. This is my last question. There was a report by one of the two suppliers to the industry saying that cigarette companies were trying to whittle down inventories at least in their product category. Do you feel like cigarette companies are carrying some inventory today of tobacco and they are trying to whittle it back or what do you believe the inventory position is kind in the value chain?
David Moore: We don’t comment about sort of inventory policies of our customers. But clearly with the decrease in demand, it needs that everybody is -- they are buying forward and obviously they have over bought. And so there is an element of sort of doubling down on that correction. 
George Freeman: But it’s hard to tell. We have been through a season where production less to half. The industry as a whole has excess inventory which gives the manufacturer selectivity. They have got more choices as to as long as it’s available in the market, do they have to buy now, do they wait to next year. It’s really end of a tale.
Bryan Hunt: Well, thanks for your insight and good luck in Q4. 
George Freeman: Thank you. 
Candace Formacek: Thank you. 
Operator: [Operator Instructions] And there are no further questions. 
Candace Formacek: Very good. Thank you, Jennifer and thank you all for joining us on our call today. 
A - George Freeman: Nice evening. 